Operator: Ladies and gentlemen, thank you for standing by and welcome to the Q4 and Full Year 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session.  I must advise you that this conference is being recorded today, Thursday, 4th of February, 2021. And I would now like to hand the conference over to your first speaker today, Tali Chen, Chief Business Officer. Thank you and please go ahead.
Tali Chen: Thank you, operator. Good morning ladies and gentlemen. I'm Tali Chen, Chief Business Officer at DSP Group. Welcome to our fourth quarter and full year 2020 earnings conference call. On today's call we also have with us Mr. Ofer Elyakim, Chief Executive Officer; and Mr. Dror Levy, Chief Financial Officer.
Ofer Elyakim: Thank you, Tali. Good morning everyone and thanks for joining us today. I hope that you had the opportunity to read our press release, which we distributed earlier this morning. I would like to begin by reviewing our results for the fourth quarter and the full year and then to make some comments on the progression of our business plan and finally, provide you with a context for our outlook. In a short while, Dror will provide you with detailed comments on our financial results for the fourth quarter and the full year 2020 and our outlook for the first quarter of 2021. We're very pleased with our business performance and the momentum that lies ahead. Our fourth quarter results exceeded our guidance on most financial metrics. Revenues of $31.9 million came well ahead of our guidance range and grew by 9% year-over-year and by 23% sequentially. These better-than-expected results are the outcome of improving demand across our diversified product offerings. We're excited about the solid momentum surrounding our business and the pivotal role that our innovative technologies are playing in the newly emerging voice-centric marketplace, highlighted by the following trends. The first is a surge in voice calls. The ongoing social distancing and global lockdown restrictions made voice communications essential and has led to a much increased usage of phones at home. Number two, voice user interface or VUI has evolved into a must-have interface. Potential health hazards associated with high-touch services have accelerated the adoption of voice user interface for a broad array of products and use cases.
Dror Levy: Thank you, Ofer. I will now review the income statement for the fourth quarter of 2020 from both top to bottom. For each line item, I will provide the US GAAP results, as well as the equity-based compensation expenses included in that line item and expenses related to previous acquisitions. Our revenues for the fourth quarter of 2020 were $31.9 million. Gross margin for the quarter was 51.3%. Gross margin for the quarter included equity-based compensation expenses in the amount of $0.1 million and amortization of intangible assets related to SoundChip acquisition in the amount of $0.1 million. R&D expenses were $8.6 million, including equity-based compensation expenses in the amount of $0.9 million. Operating expenses for the quarter were $17.3 million, including equity-based compensation expenses in the amount of $3 million, and amortization of intangible assets related to acquisitions in the amount of $0.6 million. Operating expenses on a non-GAAP basis excluding the items mentioned were $13.7 million. Financial expenses for the quarter were $0.3 million. Financial expenses for the quarter, included $0.7 million of exchange rate differences, related to accounting standards, related to long-term leases. These exchange rate differences were excluded from our non-GAAP results for the quarter. The financial income on a non-GAAP basis was $0.4 million. Tax expenses for the quarter were $0.1 million. Tax expenses for the quarter, included benefit from deferred tax changes related to intangible assets and equity-based compensation expenses in the amount of $0.3 million. Net loss was $1.4 million including equity-based compensation expenses of $3.2 million, amortization expenses related to previous acquisitions of $0.7 million, exchange rate differences in the amount of $0.7 million and tax benefit related to deferred taxes in the amount of $0.3 million. Non-GAAP net income excluding the items I just described was $2.9 million. GAAP loss per share for the quarter was $0.06. The negative impact of equity-based compensation expenses on the EPS was $0.13. The negative impact of the amortization of acquired intangible assets on the EPS was $0.03. The negative impact of exchange rate differences on the EPS was $0.03 and the positive impact of the changes in deferred taxes was $0.01. Non-GAAP diluted income per share excluding these items I just described was $0.12 for the quarter. Please see the current report on Form 8-K, that we filed with the SEC this morning for reconciliation of the non-GAAP presentation to the GAAP presentation. Now turning to the balance sheet, accounts receivable at the end of the fourth quarter of 2020 decreased to $11 million compared to $11.6 million at the end of the third quarter, representing a level of 31 days of sales. Inventory increased from $8.2 million at the end of the third quarter to $9.1 million representing a level of 53 days of sales. Our cash and marketable securities increased by $8.4 million during the fourth quarter and were in the level of $128.6 million, as of December 31, 2020. Our cash and multiple security positions during the quarter was affected by the following. We generated $8.6 million of cash from operations. $0.3 million of cash was used for purchase of property and equipment. $0.2 million of cash was provided by exercise of stock options, and $0.1 million of cash was the change in the value and amortization of multiple securities. Now, I would like to provide you with our full projections for the first quarter of 2021. Our first quarter projections include the impact of equity-based compensation expenses and acquisition-related amortization expenses are as follows. Revenues are expected to be in the range of $31 million to $33 million. We expect our gross margin to be in the range of 51% and 53%. The R&D expenses are expected to be in the range of $10 million to $11 million. Operating expenses are expected to be in the range of $18 million to $19.5 million. Financial income is expected to be in the range of $300,000 to $400,000. And taxes on income are expected to be approximately $0.3 million on a non-GAAP basis. Our shares outstanding are expected to be approximately 25.5 million shares. Our first quarter projections include approximately $400,000 of amortization of intangible assets and our first quarter projections also include the following amounts that are forecasted for equity-based compensation expenses and intangible assets related to previous acquisitions. Cost of goods includes approximately $0.2 million. R&D expenses include $1 million to $1.2 million. Sales and marketing include $0.7 million to $0.9 million and G&A includes $0.6 million to $0.8 million. Now, I would like to open up the line for questions and answers. Operator, please.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session.  Your first question comes from the line of Jaeson Schmidt from Lake Street. Please ask your question.
Jaeson Schmidt: Hey, guys. Thanks for taking my questions. Ofer just following up on your comments on seeing continued supply constraints, just curious if you could quantify what sort of revenue impact that had on Q4 and if there is a way to sort of quantify how much you think it will impact the Q1 as well?
Ofer Elyakim: Hi, Jaeson. So, on the supply chain comments, so I think we're in the midst of a fairly significant supply chain constraint where demand outweighs the available supply and there's a lot of capacity restrictions. We are managing through that situation with the support of our supply chain partners. But indeed there are certainly materials that we cannot fulfill and supply to our customers. With respect of the magnitude of that, I would say that is probably around 20% to 25% of let's say the fourth quarter revenues, and I think to a certain extent the same on Q1 revenues.
Jaeson Schmidt: Okay. That's really helpful. And then you mentioned seeing sort of record design wins within that IoAT. As we look at 2021, could you sort of rank order the three segments on where you're seeing the most design activity?
Ofer Elyakim: Sure. I think we do see a great deal of design activity with leading Tier 1 vendors on SmartHome. I think that we're also very encouraged and have a really strong hopes for a very strong translation of the design win activities to revenue growth also on the SmartVoice front, where we do see our products reaching very interesting and in a way leading very interesting categories. So I think that we will also share some excitement there. And on the Unified Communications front, we have secured as I indicated in the prepared comments both design wins on video and new video endpoints as well as voice-related work-from-home so newly developed type of endpoints to facilitate only collaboration with external hardware accessories. But on the Unified Communications segment, I think, what is most interesting to see is despite a fairly turbulent year where there were a lot of leaps in terms of usage and adoption of new technologies all of our customers, the incumbent customers are investing and are refreshing and are looking forward to launch new hardware endpoints. And I think that DSPG is going to play a fairly significant role in that and I believe that this is also very encouraging as we look into the future of that segment and the role that hardware endpoints will continue to play in this kind of more elastic or hybrid model in which we're going to work and where some part of our time will be spent in a home office another part in the traditional office. So this is also very much exciting and I think that for Unified Communications we do expect to see a recovery this year as I've indicated with perhaps a shift in the way enterprises are going to utilize their IT budget this year. So I hope that covers your question Jaeson. 
Jaeson Schmidt: No, that's really helpful. And then just the last one from me and I'll jump back into queue just following up on those comments on the UC segment. I understand the customers are still investing. Have you seen timetables as far as launches go continue to get pushed out or are they relatively on track? 
Ofer Elyakim: So from what we can tell, I think that everyone is pushing forward and trying to expedite the launches. As I think, we spoke during last year a lot of these designs not by these organizations wills or plans, but just because of a reflection of reality it's very hard to design hardware where people are not sitting in the same space. And it's very hard to debug and do these bring-ups when people are sharing a screen. And so the design cycles did take longer. But from everything we see we believe most of these programs -- should be launched on time and hopefully completed beforehand. So we don't see there a change. I think it's just a kind of reflection of reality -- if we do see delays because of the different way of conducting such designs.
Jaeson Schmidt: Okay. Appreciate that color. Thanks a lot, guys.
Operator: Your next question comes from the line of Matt Ramsay from Cowen. Please ask your question.
Matt Ramsay: Thank you very much. I hope everybody is well. Ofer, I am -- there's a lot of companies that are in and around the ecosystem going through this supply chain tightness at the same time, sort of, a surge of bookings and customers are clamoring for that limited supply. So you talked in your script about a fairly lean channel for most of your customers, particularly in the cordless business. And at the same time, you guys being limited on supply. So could you maybe help the guidance that you provided for March is that indicative of how much can ship and is that greater than or less than what you think sellout is from your customers? I guess said another way, are you -- is that revenue level that you're starting to rebuild a little bit of inventory or are we flat on a channel inventory basis or are things still depleting? I'm just trying to figure out how we're going to trend through the rest of the year if that makes sense? Thanks.
Ofer Elyakim: Yes, sure. Sure, Matt and thanks for the question. So maybe, kind of, with a little bit of background so as you'll recall and you follow us now for a number of years now and you do know that usually when we look at our backlog and our visibility it's typically two months or on average eight weeks. Right now and I think that it's not a DSPG phenomenon -- probably a wider phenomenon -- there is no problem with visibility because everyone wants material. Now, in order to better understand the needs and the urgency where product needs to go -- we are doing certain – a channel checks to better understand what is the situation of that inventory. Again, you know, our checks are not necessarily covering an industry-wide type of a check, but go and measure certain vendors and query with customers and value-added resources, et cetera. And so from what we can tell, we see that at least in the fourth quarter, cordless products were flown by air rather than by sea, meaning that the cost of these products went through the roof because of a fairly expensive transportation cost. We also see that in some of the Unified Communications side where lead times are very long, much longer than the traditional lead times. And so I think that for the most part, we do see when we kind of are looking at the trend line of Q4 and now into Q1 let's say January. So far we believe that inventory levels are lean.  Now when I look at the guidance and I try to compare it versus demand, as I said earlier, our ability to supply is basically included in the revenue guidance that we provided. The needs coming from customers are much, much higher.  Now if you ask me around the end of March, where would inventories be? This I cannot tell you, but what I can tell is that, since we are missing a lot of material and we're not able to fully supply. I would say that the inventory level should stay at the same level or so and we will continue to do these checks and have a better understanding of where supply is really needed and try to measure or assess the levels of inventory.  But for now from what we can tell, demand is significantly higher than what we can supply. And we are trying to do our best to work very closely with our customers as well as with our supply chain partners in order to accommodate to the best we can all the needs given that very dynamic situation that we're in. 
Matt Ramsay: No, I appreciate you quantifying some of those effects in a transient environment, it's tough, so I appreciate the color. My next question is on the Unified Communications market. And I thought it was interesting the comments about how the customer base is investing to take on this sort of hybrid work-from-office, work-from-home model that's likely to persist for a number of years.  I wonder, Ofer, if you can just offer some comments about unit and ASP and margin potential of those new products that you're designing in totality versus -- I know some of the recent wins with Cisco and others might have been quite high ASP and margins, but maybe lower unit numbers versus this new paradigm? I'm just trying to understand what the area under the curve might look like relative to if we would have had this conversation nine months ago? 
Ofer Elyakim: Yes. So I would first of all, split my answer into two parts. One is these designs wins that we're winning in the traditional UC endpoint market. And the second part is on let's say, the newer hybrid type of endpoint that are in a way supposed to reinforce or upgrade the user experience when using a soft client such as WebEx, Teams, Zoom et cetera. So, on the traditional UC market as we discussed it in the past, for the most part our content, the content that we ship, the type of performance that we provide is usually going upwards and not downwards. And we are today expanding our market share in that business by penetrating into new OEMs and also strengthening our share of wallet at existing OEMs. In the new type of collaboration devices those that are kind of in a way more portable, can be used at home, in the office. There we also see arising dollar content.  But with respect to the revenues and the unit volumes et cetera, I would say it's relatively early and only once these products we launch and we'll kind of get some history, we'll understand better. I think we'll be able to comment right now, the expectations are high, but we need to see the proof once these products are going to be launched and adopted et cetera. But I think the common denominator here is that our content is going up. 
Matt Ramsay: Got it. That's helpful. And just last one for me. Dror, any comments on OpEx trends? It sounds like a good bit of churn in the opportunity funnel for you guys given these trends. So any thoughts about how to model expenses would be helpful? Thanks, guys.
Dror Levy: Yeah, sure. So overall when you look at our first quarter plans OpEx are running like higher, slightly higher than where it was in the fourth quarter of 2020. And we believe that going into 2021 for the full year we should see OpEx more or less in these levels, I would say of around $15 million a quarter on a non-GAAP basis. I think this is $15 million to $15.5 million, which is more or less aligned with where we have expected to be in the first quarter.
Matt Ramsay: All right, perfect. Thank you very much.
Operator: Your next question comes from the line of Suji Desilva from ROTH Capital, RDH. Please ask your question.
Suji Desilva: Can you maybe take the first quarter guidance and tell us what you expect for each of the segments?
Ofer Elyakim: Hi, Suji. So what we did in the guidance, we did break it down between cordless and non-cordless. When you try to peel the total IoAT revenues by the different ingredients, I would still say it's rather early for us to, kind of, say exactly how given the very dynamic situation that we're in. But I would say that we do right now expect to see growth in each of those segments I want to say both sequentially and year-over-year.
Suji Desilva: Okay. That's helpful. And then maybe just, kind of, a higher-level question. It seems like there's an interesting trend going on with the devices that we use for work whether it's in the office or at home. Is there any logic perhaps to combining the cordless and unified communications segments into one? And just co-related to that, I mean, these form factors you could argue that with Zoom and all that they would be soft clients in a PC or a phone, but you guys are seeing new form factors and devices. I just want to know the customers' thoughts on, kind of, there being a physical device versus it being a soft function Zoom-ish, kind of -- I mean, any thoughts there would be helpful.
Ofer Elyakim: Yeah, yeah. So absolutely. So the soft clients were widely embraced because of the situation and a lot of the calls did go into that as a common denominator for having a video-rich media type of a collaboration session. But we do see this rising need and we see it everywhere whether it's in PC devices, tablets and the development of new accessories for significant enhancements both from the camera side, as well as from the audio front. And I do believe that we will see a lot of these accessories that will significantly improve the imaging the way the camera interacts the fact that you don't need to sit really in front of the screen in order to be able to come across both from an audio front, as well as from a video perspective. So all of that is going to be enhanced and I think that most likely it will be enhanced by hardware. It does not mean that this will come on the expense of soft clients. But I think that hardware can significantly increase the productivity and also allowing less fatigue from such ongoing type of sessions that one would have during the day and will enable a lot more comfort and the ability to really work as you would in the office where you don't need to be in front of your PC or tablet. In addition to that, and I think that we see that everywhere not all of these sessions can actually be done in the right performance. And actually the common denominator for all of these sessions is the quality of the voice. And once voice is corrupt and once voice is really clear or choppy those soft sessions are not really productive. And hence the reason you need also to complement that with the ability to actually access those sessions via a regular line by calling from a cell phone from a home phone or a desk phone to the MCU, to the cloud and accessing these calls. So I think that what we're seeing is really a myriad type of uses that will include both regular endpoints, as well as PCs, as well as new accessories, as well as new collaboration units that will in a way enable you to have an additional screen or a much better AI-based camera, a microphone system and a speaker system that will really follow you that will -- the beam will follow your direction and in a way amplify if you will to sit a far from the screen or from the camera. So all of these are products and innovations that are being worked on by the vendors both incumbent as well as newcomers to that space. 
Suji Desilva: Okay. No, I look forward to those interesting form factors. And then last question on the SmartVoice the DBM10 which incorporates Edge AI which of the end market segments are the most eager the first to adopt this trying to adopt this design-win wise out of the segments? 
Ofer Elyakim: Yes. So I think there are a number of them. So the first one is the hearable side. So true wireless and over-the-ear type of headsets that will require more intelligence the ability to provide much better comprehension so to enhance the listening experience so that we can actually hear much better voices around us when the headset is in the ear versus when we take it off the ear. It will be for a lot of algorithms that we run in order to provide you with all the noise cancellation mechanisms and a lot of information around how the headset is placed in the ear and a lot of compensation type of mechanisms and many such algorithms. Another area where they will be deployed will be in the entertainment front, so more on the TV and entertainment front, where you need more capabilities around a sound analysis around the ultra-low power. And the third would be also in the camera market that would be kind of the third segment. 
Suji Desilva: Okay. Thanks.
Operator: Your next question comes from the line of Derek Soderberg from Colliers Securities. Please ask your question.
Derek Soderberg: For taking my question. I wanted to start with cordless. So demand appears to be holding up, it's going to be nicely up year-over-year. I'm curious as to what your updated view is on the short and medium-term outlook for cordless beyond Q1 and maybe when we should start to see that return to the historical year-over-year declines? Thanks. 
Ofer Elyakim: Hi Derek and welcome. So with respect to the questions around cordless so; A, you're right we are seeing some fairly different trends I think this robust year-over-year growth in the fourth quarter. Our outlook also indicates that cordless is supposed to grow nicely year-over-year. And this is very different from the trends and the assumption that we took about the cellular decline of that category of about 15% to 20% a year. I think that in the short term today demand is strong and inventory is lean. And there is need for products and there are many customers who are pushing very hard to expedite and get more product and material. With respect to the medium term, I want to say that as long as we are going to be in the situation that we're in now and this kind of more kind of flexible working environment where people can work from home, some from the office; so whenever you need to use the home/office more, I think that this category will continue to see an expedited replacement cycle. Such as the one that we see now perhaps a little bit kind of more muted with respect to the trend line. And I think in the long run once we do return to a full normality no social distancing we are not necessarily -- we don't need to use the phone as much as we do today to in a way replace face-to-face interaction; then perhaps cordless may move back to a secular decline maybe not at the levels of 15% to 20% probably less than that. But this is still a prediction. We'll need to see exactly how environment the dynamics are going to change, how fast will we kind of resume the older habits. I think that as long as the habits will stay as they are today, there will be an expedited cycle of replacement. I think we see that everywhere from what the service providers are reporting with respect to the voice minutes used, new connections of phones, the landline. I think today we see a robust adoption of more digital voice into CPEs like we've never seen before. So all of these indications do translate to the fact that this kind of rising tide in more voice calls and more voice communication is also raising the demand for cordless products. 
Derek Soderberg: Great. And then on my follow-up question I'm wondering on DECT/ULE you're making some progress in Europe and now have another customer in the United States. I'm curious to ask your thoughts on ULE adoption trends in the U.S. broadly, I guess in the short and medium term. And then if you could provide any details on the size of the new US deal this quarter that would be great?
Ofer Elyakim: Sure. So, with respect to ULE, as I look to the last five years, we did start with a focus on Europe. This is where the technology is a major incumbent technology where all the standardization bodies are based and are working very closely with a lot of these type of market participants whether they come from the telecom, security, or industrial IoT. This was the first market in a way kind of the home base of ULE and this is where we started. We were able to persuade two of the largest service providers in the continent both Deutsche Telekom as well as Orange to adopt this solution. And today we see a significant wider adoption of the technology in countries like Germany and also in France. We see an expanding ecosystem. We see many more service providers adopting this connectivity. And I think that we are very optimistic and bullish about the trend line and the trajectory in the European market. Now, two and half years ago, we basically started our foray and started promoting the technology in the US market. And I think that one of the major conclusions that we go to was that we need to focus on the US security market as one of the driving forces for IoT technologies and in a way kind of the pioneer in utilizing such technologies and enhancing and enabling a richer ecosystem. We did announce our first step Tier 1; I would say a breakthrough design with the Blue by ADT last year. These products are now in the market were launched late in 2020. And we believe that with our efforts and with the selection and the vote of confidence that we received from our partners and ADT is that this technology is positioned very, very well to thrive in the US security market and in other IoT markets. And I would say that this is one of the major pillars for our future growth and also R&D investments into the future. So, this is definitely a market that we are very, very encouraged with the results and we really like the momentum and the drivers are really kind of working on all cylinders. So, this is definitely a market to focus on this year and also next year.
Derek Soderberg: Great. Thanks.
Operator:  Your next question come from the line of Denis Pyatchanin from Needham. Please ask your question.
Denis Pyatchanin: I have some questions on behalf of Raji Gill today. So, I was wondering if you guys could speak a little bit more about SmartVoice. So, what's driving demand here? Is it predominantly COVID, or are there some maybe other kind of non-COVID related trends that you can highlight? Can you guys provide a little bit more color about that? And then what's kind of driving the revenue, is it mostly units, kind of, moving around or is there some big change in kind of unit pricing?
Ofer Elyakim: Sure. Hi Denis and thanks for the question. So, on SmartVoice so I think that the pandemic and the events that we went through in 2020 were definitely a catalyst for a larger and wider adoption of voice user interface. Now, if you ask me about the design wins of the pipeline that we have today whether this is really a result of the pandemic, probably the pandemic definitely stimulated the adoption and the fact that more people became aware of the values and the ease of use and the fact that the technology is really ready for prime time. Now, when I look at the designs that we achieved this year that are expected to ramp up into products in mass production during the year, I do notice that many such vendors that are selecting our technology whether it is for the standard VUI, whether it's to enhance collaboration capabilities, and whether it's to run Edge AI algorithms, whether it's for voice human interaction, or even just for environmental sensing are doing so because our products were designed with these capabilities in mind. We mentioned the new addition to the family that we announced early in the year the DBM10 L. And these products are really designed with that in mind. So, with the best-in-class performance, the maximum flexibility, and very fast time to market whether you'll be using the DSPG algorithm suite, whether the vendor is bringing their own algorithm and in a way porting it on our DSPG machine learning core. So I think that from a content perspective, we see the content increasing. We are providing more value, more capabilities. And I think that also from the performance criteria, we're providing a more advanced and enhanced capabilities to our customers. So when I look at the market today, I just feel that voice and whether it's voice that is used for commands, whether it's voice that is used for a communication or it is audible signals that are used for AI analysis; these are all becoming more essential as I think that the audience and the target market has just expanded by the events of last year like the pandemic that kind of really proliferated the use of a smart assistants and others. And I think that for us, it definitely serves as a good catalyst and we're very happy with the design pipeline that we have and with the use cases that our customers are using and we do believe that it will be one of the strong vectors for growth for us this year.
Denis Pyatchanin: Got it. Thank you for that. And then for my follow-up question, I just wanted to ask a little bit about margins. So with the supply chain tightness, do you guys believe that there might be some pressure to basically the record margins you guys were at looking at 51.9% here? Do you expect a little bit of pressure kind of going into Q1 and Q2?
Ofer Elyakim: So with respect to the kind of the gross margin profile, I think that what we've seen during the last I want to say 6 or 7 years that our gross margins did improve and expand from the high 30s into now the low 50s. And this was done based on the mix, the more traditional products that were selling at relatively lower in margins versus kind of the corporate average and the new products or the Internet of Audio Things products that were selling at better -- with a better margin profile. I think that we believe that this is still the case. However, you are right that we are in this kind of very dynamic supply chain situation that could impact margins in there. But I think that what we need to look at is really that trend line, where I think looking forward to seeing the increased mix in terms of the proportion of the IoAT products, we do believe that we should as a company and we can based on the value and the content share that we're seeing, we can expand and enhance the margin profile. And yes, during the -- this interim period where there are some constraints, it could see some pressure. But I think that some of it is already taken into our guidance for the first quarter. And if there will be of course any changes that we believe, we'll probably provide it in our next quarterly call and provide an update. But I don't think that this is something that should be of concern. And I think that you need to look at the trend line that we were able to achieve and also with improved mix, I think this is a trend line that we need to follow.
Denis Pyatchanin: Great. And that's all for me. Thank you.
Operator: There are no further questions. Please continue.
Tali Chen: Thank you everyone. Thanks for joining us and we look forward to report to you in the next quarter.
Operator: That does conclude our call for today. Thank you for participating. You may all disconnect.